Operator: Good afternoon and welcome to the Federated National Holding Company’s Fourth Quarter and Year End 2013 Financial Results Conference Call. My name is Nicole and I will be your operator today. Please note that today’s call is being recorded. At this time, all participants are in a listen-only mode. Later we will conduct a question-and-answer session. (Operator Instructions) We ask that you please limit your questions to allow time for others. You may reenter the queue for additional questions. Statements in this conference call that are not historical facts are forward-looking statements. Without limiting the generality of the foregoing words such as anticipate, believe, budget, contemplate, continue, could, envision, estimate, expect, guidance, indicate, intend, may, might, plan, possibly, potential, predict, probably, pro forma, project, seek, should, target or will or the negative thereof or variations thereon and similar words or phrases or comparable terminology are intended to identify forward-looking statements. The matters discussed on this call that are forward-looking statements are based on current management expectations involving risks and uncertainties that may result in these expectations not being realized. Actual events, outcomes and results may differ materially from those that are expected, expressed or forecasted in forward-looking statements made on this call due to numerous risks and uncertainties including but not limited to the risks and uncertainties described in this conference call. Our press release issued today and other filings made by the company in the SEC from time-to-time. Forward-looking statements made during this presentation speak only as of the date on which they are made and Federated National Holding Company specifically disclaims any obligation to update or revise any forward-looking statements to reflect new information, future events or circumstances or otherwise. Now at this time I’d like to turn the conference over to Mr. Michael Braun, Chief Executive Officer and President of Federated National Holding Company. Please go ahead sir.
Michael Braun: Good afternoon and thank you for joining us today to discuss Federated National Holding Company’s fourth quarter and year ending 2013 financial results. I’m joined on the call by Pete Prygelski, our Chief Financial Officer. Our financial results can be found in our earnings press release. I will go over some brief highlights from the quarter and then Pete and I will open up the line for questions. Highlights include full year net income of $12.7 million which is an increase of $8.4 million or 195% compared with net income of $4.3 million in 2012. Gross rate and premiums of $243.4 million which is an increase of $123.9 million or 104% compared with the same 12 months the prior year. Net premiums earned are $104.4 million which is an increase of $45 million or 76% compared with the same 12 months the year prior. Book value increased to $9.95 per share at December 31, 2013 compared with $8.26 at December 31, 2012, a 21% improvement. Homeowners’ policy count grew from 61,102 at the start of 2013 to 116,401 at December 31, 2013 or a 91% increase. We continue to write 100% of our new business on a voluntary basis with our partner agents. Our performance in 2013 reflects the effort and momentum that our team has been building on over the past few years. As I mentioned when we reported full year 2012 the actions we’ve taken to build our brand would position us to accelerate our growth trajectory which is now evident in our reported results. Our performance for the year was strong across majority of measured metrics including gross written premium, net premium earned, revenue and operating expenses and as a result solid earnings performance. Serving our policyholders and agents remains our top priority and has generated significant goodwill in the marketplace. This has resulted in significant policy count and top-line growth. Capitalizing on our performance during the past several years we enter 2014 with significant momentum and the flexibility to make further investments in our business model. With that we’re glad to open up the call to your questions.
Operator: Thank you. (Operator Instructions) Our first question comes from (indiscernible) of KBW. Your line is now open.
Unidentified Analyst: Hi, thank you. Just had a couple quick questions, in terms of flood I know you write some flood premiums. Is that a 100% seated for the federal government or do you retain any of that risk?
Michael Braun: We cede all of that. We are in the NFIP program which means that it is on our paper but we do cede all of that to the federal government.
Unidentified Analyst: And do you have any plan to ever bear any of that risk or would you always just want to basically give it, hand it over to the government?
Michael Braun: Well there is clearly an opportunity for us to write it, however it’s very, very premature. There is a lot to be resolved between rates, rules and forms as well as finding a reinsurance partners that we can cede that to. So we have interest in it but I believe it’s very premature.
Unidentified Analyst: Okay, thanks. And the other question I had in terms of growing within other states, what sort of the growth trajectory you see there? I guess what’s the timeline for a meaningful growth outside of Florida?
Michael Braun: Sure. It’s going to be a go slow approach. Florida is our base and that would be our – majority of our premium for the foreseeable future. We did launch homeowners in Louisiana in the fourth quarter. We have about a 1000 risks, they’re now about $2 million of premium. I anticipate that we should launch South Carolina in the second half of the year. And then there are some other Coastal states we’re looking at both along the Gulf Coast as well as Atlantic Seaboard. So it’s great opportunity but it’s going to be carefully rolled out in a little bit of slow format.
Unidentified Analyst: When you say 1000 risks you mean policies in force or..
Michael Braun: Yes, in Louisiana we have about 1000 policies in force and about $2 million in premium.
Unidentified Analyst: $2 million in premium. Okay, great. Thank you so much.
Michael Braun: Thank you.
Operator: Thank you. Our next question comes from (Ryan Burns) of Janney Capital. Your line is now open.
Unidentified Analyst: Great. Thanks for taking my questions guys. Congrats on another nice quarter here. Just could be want to obviously talk about I guess growth rate so far in the first quarter just want to see how we should think about that going forward a little bit?
Michael Braun: Yes. We’ve consistently been averaging around $3 million a week of new business really since the second quarter of 2013. January geared up a bit. We actually rolled more than we’re expecting. We did about instead of around $3 million a week, we’d actually we’re doing over $4 million a week. It’s slow down a bit again we’re back down to around $3 million a week. I would anticipate that, that there is nothing out there that would change it, but it could increase or decrease based on competitive forces.
Unidentified Analyst: And could you maybe talk about your rate filings heading into 2014 I guess and also versus these competitors I guess in the state for citizens?
Michael Braun: Sure. In terms of rate we just filed a rate increase that is basically one tenth of a percent of a rate decrease. Our condos were going up around 8%, 9% and our single family homes are going down around 2%, 3% that blends just under – with a very slight rate decrease so that was just filed. I anticipate that will take 60 or 90 days to go through the department and then we’ll be putting that in our rates once approved whatever that maybe. We’re seeing some competitors take some rate decreases, I would say all in the single digit range, low to middle single digits. There is a few that have taken a slight increase as well but we remain very competitive in the marketplace. Our products are very competitive across the state.
Unidentified Analyst: Okay, great. Just quickly on – is there any changes, any new distribution channels or still the same independent agents and obviously that Allstate network as well. Is there any change to that?
Michael Braun: No, our partner is the agent. We don’t do any de-pops of these pools like citizens just don’t believe that you can get the quality underwriting there. We have a very deep relationship with our agents and that’s what it is it comes from.
Unidentified Analyst: Okay, great. That’s all my questions. Thanks guys.
Michael Braun: Thank you.
Operator: Thank you. Our next question comes from William Meyers of Miller Asset Management. Your line is now open.
William Meyers: Hi, do you have any outlook at this point for re-insurance cost this year?
Michael Braun: What we’re hearing in the industry is there is ample supply, there is a lot of capital chasing return and a lot of it continues to head towards Bermuda. We’re hearing that rates could be down upwards of 10%, saw a 10% rate decrease. We won’t know and so we get further out, but with our growing business we’re clearly going to be buying in a similar style that we did last year but that results in much bigger numbers and I don’t believe we’ll have any challenge filling that, all of our coverage and I believe the rates are going to be fairly stable with a slight decrease.
William Meyers: Okay. And you’ve been generating quite a bit of cash lately. Any thoughts on cash used?
Michael Braun: Well that’s as you know we did a capital raise last year and the reason for that is just because of the growth that we’re experiencing. So yes we’re very well aware of the capital that we have and we continue to reevaluate what we’re going to do with that including investing it back into our business to continue our growth.
William Meyers: Okay. Thank you.
Michael Braun: Thank you.
Operator: Thank you. Our next question comes from the line of David Spier of Nitor Capital. Your line is now open.
David Spier: How are you guys?
Michael Braun: Great.
Pete Prygelski: Hey how are you?
David Spier: I just wanted to first give you guys some credit, you guys have done a great job turning on the ship and especially the way you garnered it really (indiscernible) some of the other guys and you’ve done a great job in internally managing this company and growing organically. So just wanted to give you guys some credit and some drops there.
Michael Braun: Thank you.
David Spier: Yes. The other question – a couple of questions I had was one the environment today, how do you see it – do you still see the same growth, you saw two months ago when the capital raise was done. Just – can you give a quick breakdown of what you see the environment is?
Michael Braun: Yes. There is obviously there is new people that have entered the marketplace. The big boys continued to stand in the sideline from national carriers that is citizens is really mandated to downsize. So we think there is a very healthy marketplace out there and we think we’re getting a first look at most of the quotes that the agents have because of our rates that are competitive and we believe our service really goes a long way that the agents are comfortable and confident that they’re placing with us and their best interest is the agent but more importantly in the best interest of the insureds. So I think go ahead..
David Spier: No, so even this now and obviously is a very slight and needed rate decreases but even with – even considering do you still see this year as a potential year continue growing?
Michael Braun: Well right now like I said I think that we’re averaging approximately $3 million a week. That could change, it could increase, it could decrease based on lot of market forces…
David Spier: You’re still doing $3 million a week.
Michael Braun: Yes, correct. Absolutely.
David Spier: And just in terms of because I was actually down in Florida recently and it seems every week or so there is someone else moving down to Florida. I’m just curious in terms of the policies you’re writing, is there any type of idea you give us into property types in terms of are these new homes built or new purchases or just renewing policies or changing the policies, but more or less I want to get a feel of how the property market in Florida is impacting your results?
Michael Braun: Sure. We specifically target newer homes and higher value homes. I would say that the majority, I don’t have a specific number. I would say the majority of the business we’re getting is from other carriers and once again because of our rates and because of our service. But we specifically target new homes and higher value homes, newer homes as post 2002 construction so the last 10 to 12 years. Brand new homes clearly the economy has picked up in Florida, we’re seeing some movement there, but my definition is homes that are 10 to 12 years old that’s the majority of what we write.
David Spier: Got it. And was there a macro amount in the office now, so was there an ROE number that you guys provided in the quarter or recently in the past quarter of the year?
Pete Prygelski: David, we did not put an ROE number in the press release but the ROE for 2013 was 14.6%.
David Spier: Really, I guess that’s great considering you’re to book value or some of your peers are, I consider lower on the quality section I mean stock looks again pretty cheap here especially with that type of an ROE number with your multiple. So again congratulations and look forward to seeing the stock improve. So appreciate it.
Michael Braun: Thank you, David.
Operator: Thank you. Our next question comes from Samir Khare, Capital Returns Management. Your line is now open.
Samir Khare: Good evening guys. Congratulations on the result.
Michael Braun: Hi, Samir.
Pete Prygelski: Thank you.
Samir Khare: I just want to ask about the expense ratio, it seems to have been benefited from the scale that you guys are growing at. Are these lower levels for the operating expense and the salaries. Is that kind of what we should expect going forward?
Pete Prygelski: Samir its Pete. I think year-to-date 2013 we came in at about 38% for the quarter 33%. I think when you’re looking at the operating underwriting in salaries yes and these percentages will stay about the same I mean it’s going to be impacted obviously by the cost of reinsurance obviously because we had a low – good reinsurance by this year hence more net earned premium. But I think as Mike and I’ve – we said on the previous calls that we target 40% we beat it this year, but I think 40% is still our target, but I do think 38% is where we came and this year is a very achievable number again and maybe goes lower as we pick up scale.
Michael Braun: And Samir to say more on that is the reinsurance expense clearly the $68 million that we have which is about $17 million a quarter. We’re benefiting short term from that with our growth. We’re not – that’s not our plan to do that but clearly we’re getting that benefit in the fourth quarter and you’re going to continue to see that in the first and second quarter until we buy new reinsurance which will be effective July 1.
Pete Prygelski: Yes. So the 33 is a weird number to look at Samir because like as Mike says we’re benefiting from that reinsurance by and what we’re writing now, look at the annualized number so that 38% is a good number.
Samir Khare: Okay, great. And then what is your average premium per policy for your current book and then for the new policies you’re putting on?
Michael Braun: Really varies. We’re still averaging approximately $2000 but it really varies I mean Tri-County is double that. We’re really writing a lot of what’s called HO6 which are condos that comes in the high 100s. It can be $600, $700, $800. We write something called an HO4 which is a renter policy which comes in around $200 to $300 and then we have another product called the DP which is the Dwelling Fire that can come in $600, $700, $800 as well. So the overall average at about 125,000 policies at about $250 million is about $2000, but it varies geographically and by product line. It’s about $2000 in Louisiana but obviously in South Florida it can be much higher than it would be up in Orlando or Jacksonville.
Samir Khare: Okay. And then is that about the same for the new business that’s coming in as well to the grant?
Michael Braun: Yes, it’s fairly consistent but I will tell you we’re attracting a lot of new homes and a lot of higher value homes. So we do write homes upwards of TIV which is the sum of all coverage in excess of $5 million. Now we see that follow that on Cat and non-Cat perspective, our Cat we keep is the large program and we keep $7 million as an aggregate of all Cat for our retention, non-Cat we keep AOP losses all other peril losses, we keep the first 500,000 and then cede everything else off beyond that. So we’re really attracting a lot of high value homes and newer construction homes. That’s really kind of our sweet spot in the marketplace, but we’re still attracting all sorts of homes, we get up to a 40 or plus homes as well and we’re giving homes from the 70s and 80s. It depends on a number of characteristics geographic as well as construction and mitigation features. So we’re going to be good in writing.
Samir Khare: Okay. And then just your growth strategy in Florida, are you guys focusing on coastal, non-coastal, what’s your focus there?
Michael Braun: Our focus is on service and partnership. We want to make sure we’ve taken care of our insureds and our agents obviously the coast is less competitive and Orlando, Jacksonville is the most competitive parts of the state. So we were in 66 of 67 counties throughout the state. So we’re pretty much everywhere in the state you can be but the growth in Orlando and Jacksonville clearly comes its more competitive and it’s harder to get that premium. But it’s also less profitable premium in those areas as well.
Samir Khare: Right, okay. And the – sorry Demotech is they’re pushing companies I think to buy more reinsurance in the second event. Can you just review with us what you guys buy to the first and second event?
Michael Braun: Sure. Basically what you’re referring to is we buy to a total of 1 and 100 in first event. And last year we were below that by 1 and 42 second event and basically they’re looking for us to increase that up to 1 and 50, when I say we everyone in the industry. I think that’s a good thing. The more coverage and the more protection we can have on our balance sheet the better. I don’t think that will be a significant impact on our reinsurance expense. It’s really the second event up that high, it really doesn’t have a lot of expense. And these types of moves by Demotech I think is healthy because than it one in the marketplace it’s competing on a level field. So that’s what they’re stating is going to be in place and we believe that’s a good place to be.
Samir Khare: Great. That’s it from me. Thanks guys. Good job.
Michael Braun: Good job.
Pete Prygelski: Thanks.
Operator: Thank you. Our next question comes from the line of (Matthew Dotson) at (JOS) LLC. Your line is now open.
Unidentified Analyst: Can you just talk a little bit about you’ve been successful with Allstate. Is there any other companies that you’re looking to partner with or can you give us an update there?
Michael Braun: Well in Florida you’re right Allstate is a partner that we have and they are a significant partner. But our bread and butters are independent agents and that’s a lot of times the mom and pop type relation and we’re very committed to them that is our partnership and that’s the vast majority of the business we write. In terms of chains within Florida you’re right Allstate there is state farm, state farm really we are not – don’t have a direct relationship with, it’s more of an indirect relationship because they’re part of the clearing house which is where they go through and place business for citizens and citizens try to put it off into the private sector. There are some other chains in Florida that we have relationships with, there is a chain called Great Florida, there is another one called (indiscernible), another one called Reinsured. Those are some of the bigger ones, we have relationships with all of them but our bread and butter is the independent agent, that’s really our number partner.
Unidentified Analyst: Got it. And then can you also just talk a little bit about from the standpoint your retention rate and as you’re coming into the New Year your wrote a lot of business last year. How is your retention rate so far?
Michael Braun: Well basically we tend to be around 90% as that goes through maturity and then when you include the renewal offered that’s around 85%, 86% in that range. So the majority if it does stick to the books and it’s a price sensitive market, you have to be competitive in the pricing and you also have to insureds and agents have to be comfortable with the service and the quality of the claim experience when they have the claim. So I think that those things help us.
Unidentified Analyst: Thank you.
Michael Braun: Thank you.
Operator: Thank you. Our next question comes from the line of Doug Ruth of Lenox Financial Services. Your line is now open.
Doug Ruth: Thank you. Congratulations on a fabulous report.
Michael Braun: Thank you.
Doug Ruth: Could you give us the policy count where you think you are now?
Michael Braun: Yes, we finished up the year at around 115,000 policies in the homeowners program and we added around 9000 in January. So that brings up to about 120 for them. So I think we’re going to add probably close to 8000 in February. So you’re talking about 130, it was 133 ballpark and there is always a binding that goes out up to 60 days with our agents. So it’s coming in steady for the most part we’re averaging approximately 2000 policies a week and then about 3 million a week but there is fluctuations from week to week.
Doug Ruth: Okay. Do you have – did you calculate the combined ratio for the year?
Pete Prygelski: Yes. The combined ratio for the year Doug was 85.3% versus about 91.3% in 2012.
Doug Ruth: That’s awesome. Do we have an employee count at the end of the year or currently?
Michael Braun: We’re growing pretty quick. We’re at 162 about one or two weeks ago and we’re hiring about probably I would say one to two people a week. We’ve got a lot of great employees and we continue to add to the team.
Doug Ruth: Okay. That’s terrific. And what about your concentration in the Tri-County area, have you been able to keep that below the 20% threshold/
Michael Braun: Yes. We’re still below 20% yes, it’s very easy to write in Tri-County. We’re probably one of the lower numbers out there. There is a lot of people with some significantly higher numbers out there and that can really increase premium and average premium and so on. But we kept at 20%.
Doug Ruth: That’s terrific. And I thought the expense ratio control was – that was a significant achievement for the company.
Michael Braun: Thank you.
Pete Prygelski: Thank you.
Doug Ruth: What about the – do you have the percent of business that was done with Allstate in the fourth quarter?
Michael Braun: I don’t have a specific number but they are still averaging about a third of new business coming in. So make in a week of 3 million about a million a week of their business is coming in from their agents.
Doug Ruth: Could you talk to us a little bit about the investment portfolio on any strategy changes that you’re making at this time?
Pete Prygelski: No, Doug, I mean I think our strategy is same as it’s been. It’s about principal preservation and trying to earn a decent yield. We’ve shorten the duration back in March. You can disagree with our promise or agree with it but I’d tell you our promise is that the longer end of the yield curve is likely to move higher but we don’t think the short term, the short end of the curve is going to move away from us. And as a result portfolio for the durations of less than four years like ours are likely to face minimal principal erosion and that’s our plan. Now we revaluate that. As that curve moves away from us and maybe we go – maybe we raise it the duration of the portfolio but right now we’re very comfortable where we are. We ended the year with equities were about 14% of the portfolio. We’re mindful of that. We’re looking to probably get that number down to the 10% range but other than that status quo for now.
Doug Ruth: And then the bond portfolio are you doing I mean extra coupons?
Pete Prygelski: Well yes I can tell you as of 12/31 we had about give you the percentage to see, we had about 12% in U.S. government agency securities, about 16% in cash and cash equivalents, mortgages and corporate securities we had about 37.5% and in tax exempts we have about 19.9%.
Doug Ruth: Okay.
Pete Prygelski: The average credit ratings in a…
Doug Ruth: Okay. And what’s your yield at this point, the average yield?
Pete Prygelski: Well the yields will low obviously because of what we’re investing and how short we’re in the yield curve. The yield is about the average yield pose about 195.
Unidentified Analyst: Okay. I just think you folks have done a terrific job and congratulations to both of you and to your whole company.
Michael Braun: Thank you.
Doug Ruth: Thanks for answering my questions.
Michael Braun: Thank you, Doug.
Operator: (Operator Instructions). Our next question comes from the line of (indiscernible) of (indiscernible) and Company. Your line is now open.
Unidentified Analyst: Okay. Let’s see, my first question was how much you cash allowances where I assume very low in the fourth quarter. Is that true?
Michael Braun: Well, we reserve based on just historical so even when we have low cash going out in the quarter, we’re still reserving on a little more consistent basis.
Pete Prygelski: Yes, I mean we basically reserve 30% of what we earn, we put aside for plains that we know are coming to but just haven’t been reported as of yet.
Unidentified Analyst: Okay, then. My second question, Allstate market in Florida is obviously been very good, home have appreciated lot, is that helped you a lot?
Michael Braun: Well, I’ll say just the opposite, when the market was bad, it created confusion. So, what that means is someone bought a house for let’s say 300,000 and an insurance policy requires replacement cost of 400,000 and what that means is yes you bought in a depress market but you can’t build it for 300,000. So, that created a lot of confusion for the last three, four years but now that you see the market has rebounded in Florida. It’s less of an issue so we still ensure to replacement cost, however there is less confusion between the homeowner and their understanding of the insurance policy.
Unidentified Analyst: Okay. Next question, last summer I think you had a 50% dividend increase, are you considering that this year that increase?
Michael Braun: In terms of our dividend, our Board reevaluates that every quarter with our rapid growth that requires capital, so we’d sustain those dividend for quite a while. And like I said the Board will consider that on an ongoing basis but this growth – the inventory that we need is our cash and cash equivalents. So, that’s very important to our balance sheet at this time.
Unidentified Analyst: Okay. Along with same land, one of your competitors today announced an offering, are you all considering that either from bond or from stock offering?
Michael Braun: We always evaluate our cash our balance sheet, our cash situation, we have nothing planned at this moment but we’re always aware of what our cash needs are and our balance sheet needs are and always reevaluate that but nothing to report on at this moment.
Unidentified Analyst: And then lastly, your reinsurance policy obviously went down quite a bit and I don’t know how much that insurance I’ll just fragment it revenues coming in, your reinsurance policy looks like you had a real big increase in your spread there, is that true?
Michael Braun: Well, the reinsurance, yes the market did go down in 2013, so we’re still in that contract until June of 2014. But also our rapid growth is helping that so let me elaborate a little on that, it was $68 million and that’s $17 million a quarter. So, on a flat book, you would see less benefit from that. In a rolling book you’re seeing some short-term benefit from that, that’s not our intention to stretch that margin short-term but we’re clearly getting that benefits short-term.
Unidentified Analyst: Okay. And then how about the weather this – weather is pretty cold there in Florida, do you all have any problems with that to not like giving?
Michael Braun: No, nothing out of the ordinary to report in Florida and over the winter.
Unidentified Analyst: Okay. And that’s all I had. And thank you very much. You’re doing a good job.
Michael Braun: Thank you.
Unidentified Analyst: Okay, bye.
Operator: Thank you. And I’m showing no further questions. I’d like to hand the call back over to Michael Braun for any closing remarks.
Michael Braun: Well, we just like to thank everyone for their questions and have dialed in today. And if you have questions after the fact, always feel free to reach out to Peter, myself really appreciate the support of our partners which I think our staff is second to none. We have tremendous agents throughout the state and obviously that’s the focus of our business. And our reinsurance partners have been with us for many years. So, we’re anticipating doing all of the same that we’ve been doing over the last few quarters, continuing to do that in the future. So, thank you very much for your support and don’t hesitate with your questions. Thank you.
Operator: Ladies and gentlemen, thank you for participating in today’s conference. This does conclude today’s program. You all disconnect. Have a great day everyone.